Operator: Good morning. My name is Felicia Crabtree, and I will be your conference facilitator today. At this time, I would like to welcome everyone to Boise Cascade's Second Quarter 2024 earnings conference call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there’ll be a question-and-answer period. It is now my pleasure to introduce you to Chris Forrey, Vice President, Finance, Investor Relations, Boise Cascade. Mr. Forrey, you may now begin your conference.
Chris Forrey: Thank you, Felicia, and good morning, everyone. I'd like to welcome you to Boise Cascade's second quarter 2024 earnings call and business update. Joining me on today's call are Nate Jorgensen, our CEO; Kelly Hibbs, our CFO and Treasurer; Troy Little, Head of our Wood Products Operations; and Jeff Strom, Head of our Building Materials Distribution operations. Turning to Slide two. This call will contain forward-looking statements. Please review the warning statements in our press release on the presentation slides and in our filings with the SEC regarding the risks associated with these forward-looking statements. Also, please note that the appendix includes reconciliations from our GAAP net income to EBITDA and adjusted EBITDA and segment income to segment EBITDA. I will now turn the call over to Nate.
Nate Jorgensen: Thanks, Chris. Good morning, everyone. Thank you for joining us for our earnings call today. I'm on Slide number three. Total U.S. housing starts decreased 7%, driven by lower multifamily starts as single-family housing starts increased 7% compared to the prior year quarter. Our consolidated second quarter sales of $1.8 billion were down 1% from second quarter of 2023. Our net income was $112.3 million or $2.84 per share compared to net income of $146.3 million or $3.67 per share in the year ago quarter. Both of our businesses delivered strong financial results during the quarter while operating in a somewhat tepid demand environment, influenced by elevated mortgage rates and economic uncertainties. In addition, spending on our organic growth projects progressed as expected, and we continue to demonstrate that our returning capital to our shareholders is an important part of our capital deployment strategy. I want to thank our associates across the company who continue to deliver superior value to our customers and vendor partners as we navigate uncertainties posed by the current demand environment. Kelly will now walk through our segment financial results, give some insights on third quarter and then provide an update on our capital allocation in more detail, after which I'll provide an outlook before we take your questions. Kelly?
Kelly Hibbs: Thank you, Nate, and good morning, everyone. Wood Products sales in the second quarter, including sales to our distribution segment, were $489.8 million compared to $530.3 million in second quarter 2023. Wood Products reported segment EBITDA of $95.1 million, down from EBITDA of $127 million reported in the year ago quarter. The decrease in segment EBITDA was due primarily to lower EWP sales prices as well as higher wood fiber and conversion costs. These decreases were offset partially by higher EWP sales volumes. BMD sales in the quarter were $1.7 billion, up 1% from second quarter 2023. BMD reported segment EBITDA of $97.1 million in the second quarter compared to segment EBITDA of $105.9 million in the prior year quarter. BMD was able to deliver flat gross margin dollars in a challenging environment. As it relates to costs, selling and distribution expenses increased by $10.9 million, mainly due to the BROSCO acquisition and general and administrative expenses decreased by $2 million. Turning to Slide five. On a year-over-year and sequential basis, second quarter volumes for LVL were up 8% and 6%, respectively, and I-joists volumes over the same comparative periods were up by 5% and 16%. Our EWP volumes continue to be supported by the resilience and single-family starts. Sequential pricing for I-joists and LVL was down 3% and 2%, respectively, due to continued pricing pressure in the market. Turning to Slide six. Our second quarter plywood sales volumes was 383 million feet compared to 440 million feet in second quarter 2023. As expected and consistent with our strategy, plywood volumes decreased during the current quarter as we shifted a higher proportion of our internally produced veneer into EWP production given improved demand for EWP. The $362 per 1000 average plywood net sales price in the second quarter was down 1% year-over-year and 4% sequentially. Plywood pricing weakened steadily as we progress through the second quarter with our June average price realizations around $340 per 1,000. Moving to Slide seven and eight. BMD second quarter sales were $1.7 billion, up 1% from second quarter 2023, driven by sales volume increases of 2%, offset partially by sales price decreases of 1%. Excluding the impact of the BROSCO acquisition, BMD sales would have decreased 2% from second quarter 2023. By product line, commodity sales decreased 6%, general line product sales increased 8% and sales of EWP decreased less than 1%. Gross margin dollars were flat when compared with the same quarter last year as lower margin dollars on commodity and EWP products were offset by higher margin dollars generated on general line growth. BMD's gross margin percentage was 14.8%, down 20 basis points year-over-year and sequentially. BMD's EBITDA margin was 5.9% for the quarter, down from the 6.5% reported in the year ago quarter, but up 30 basis points sequentially. We are pleased with BMD's performance in the second quarter given the market landscape. We benefited from our continued growth in general line products where sales of those products represented 42% of our sales mix in the second quarter, the highest in our history. In commodities, our team's performance was outstanding in the quarter with continued weakness in lumber markets and panel markets that drifted significantly lower as the quarter progressed. I'm now on Slide nine. Looking forward to the third quarter, our EWP order intake has slowed in conjunctions with recent declines in builder sentiment weakening single-family starts and permits data and ongoing affordability constraints for homebuyers. Assuming we don't see an acceleration of single-family starts from recent levels, we expect mid- to high single-digit sequential volume declines in EWP. On EWP pricing, we currently expect low single-digit sequential price declines in the third quarter. For plywood, we expect our lines to be comparable to second quarter however, market conditions have remained weak with July price realizations approximately 10% below second quarter average. With regards to BMD, our daily sales pace through July is approximately 5% below second quarter daily sales averages. The number of sales days in the third quarter will be consistent with second quarter at 64 days. I'm now on Slide 10. We had capital expenditures of $74 million in the six months ended June 2024, with $37 million of spending in both Wood Products and BMD. Our capital spending range for 2024 remains at $250 million to $270 million with the pace of spending to accelerate as we move through the back half of the year. In Wood Products, the significant modernization of our Oakdale facility will occur in stages between fourth quarter 2024 and second quarter 2025, and plans are in place to mitigate the potential impact to our EWP production in the Southeast region as we take project-related downtime at that facility. In BMD, we're excited to have recently broken ground on our new distribution facility in Hondo, Texas and expect to be operational in late 2025. Speaking to shareholder returns, we paid $19 million in regular dividends in the first half of 2024, and our year-to-date July share repurchase activity was nearly 768,000 shares for approximately $100 million. Today, we have approximately 1.2 million shares still available for repurchase under our share repurchase program. Also, our Board of Directors recently approved two additional dividend payments for our common shareholders, a $0.21 per share quarterly dividend, which represents a 5% increase and also a $5 per share special dividend. Shareholders of record as of September 3, will receive payment of these dividends on September 16. In summary, our balance sheet remains very strong, and we are committed to our balanced approach to capital allocation that includes ongoing investment in our existing asset base, organic growth projects and returns to our shareholders. We also have the flexibility to execute M&A if opportunities surface that align with our strategy. I will turn it back over to Nate to discuss our business outlook.
Nate Jorgensen: Thanks, Kelly. I'm on Slide number 11. Current industry forecasts for 2024 U.S. housing starts are slightly below actual housing starts of $1.42 million in 2023 as reported by the U.S. Census Bureau. Home affordability remains a challenge for many consumers due to the cost of housing combined with elevated mortgage rates. However, with low unemployment, and undersupplied existing housing stock available for sale and favorable demographic trends, new residential construction is expected to remain an important source of supply for homebuyers. Multi-family starts have declined sharply from historic levels seen in recent years due to increased capital cost for developers, combined with elevated supply. Regarding home improvement spending, the age of U.S. housing stock and elevated levels of homeowner equity will continue to provide a favorable backdrop for repair and remodel spending. However, while home improvement spending is expected to remain healthy compared to history, renovation spending has softened due to consumer uncertainty, labor availability, higher borrowing costs and building material inflation. Although near-term market demand expectations have moderated, our longer-term view on housing fundamentals remain favorable, supported by demographic trends and underbuilt housing stock. That constructed long-term view in tandem with our outstanding balance sheet affords us the ability to maintain a clear focus on our strategy and the execution of our growth initiatives that position the company for a continued success in the future. Thank you for joining us today and your continued support and interest in Boise Cascade. We welcome any questions at this time. Felicia, would you please open the phone lines?
Operator: [Operator Instructions] The first question comes from the line of Susan Maklari of Goldman Sachs. Susan, please go ahead.
Susan Maklari : Thank you. Good morning, everyone. I want to start on the performance in the general line segment within BMD. It seems like you are outperforming the market there, even with all the noise and some of the shifts that we're seeing in housing, broadly. Can you just talk about what is driving some of that? Any of the dynamics that you're seeing across the various products that you're pulling through that segment? And how do you think about the ability to continue to outperform that as you execute on your own initiatives?
Kelly Hibbs: Yes. Sue, this is Kelly. I hope you're well. Yes. So as you know, and as we flagged in our commentary, general line is -- continues to be a focus for us in terms of increasing that portion of our sales mix. And we do think it continues to show up well. We have really good alignment with our supplier base and also downstream to our dealer base where those products and services are desired. And so nothing maybe that I'd really specifically call out. But yes, it continues to be a focus. I'll let Jeff maybe add just a little bit more color here.
Jeff Strom: Sue, it's Jeff. I'd just tell you on the general line. All the projects that we've done and the growth that we've done in adding our footprint has allowed us to go deeper and wider in that segment. The millwork piece continues to grow. And one other thing we did this year is we leaned in really hard during the winter buys and set ourselves up. And we knew this was going to be a distribution-friendly market. And so with everything in stock, and we continue to grow and move those products right along.
Nate Jorgensen: Sue, it's Nate, maybe just one of the final comment on that is as you think about our general line of suppliers, our partners they continue to add to their product mix. And so as you think about their SKU intensity, they're continuing to grow their SKUs and their optionality, and that's really great for us on the distribution side to support that. And so that, I think, is part of our -- the tailwind as well as they introduce new products and new services, that's an important part of what we need to execute on their behalf as well.
Susan Maklari: Okay. That's very helpful color. And then switching to EWP, as you add the incremental veneer capacity and that comes through and it allows you to grow the volumes in EWP, how are you thinking about that relative to the pricing dynamic for those products? And what's your ability to sort of manage those in the next couple of quarters?
Nate Jorgensen: Yes. I would say, Sue, it's Nate. I think in terms of our EWP footprint, I mean, as you know, our commitment was making sure that we have the right capabilities, including all of our input materials, specifically on veneer side. So making sure that we have the right quantity, quality and price before that for veneer was an important part of what we needed to get done as an organization. I think as we think about going in competing in the marketplace moving forward, we're going to remain obviously centric on what the market needs and what our customers require. So in terms of that supply-demand balance, that will continue to be part of how we think about it. We can feel very good about the capability that we continue to build. And as we head into the -- over the next couple of years, if we have a favorable housing environment, specifically single-family, again, we think we're really well positioned to serve and support our customers in that kind of environment. So nothing -- we're going to continue to kind of build that capability. And as Kelly described in his comments, some of that activity will begin here in the third and fourth quarter into early next year and making sure that we have those kind of capabilities in Oakdale among other spots.
Susan Maklari: Okay. And then just following up on that, Nate, really quickly. As the builders are positioning to add supply in the back half? They're still really busy on the spec side of things. What does that mean for EWP pricing, as you think about the next couple of quarters?
Nate Jorgensen: Yes. I think for EWP, I would say, in general, Sue, EWP is really an important part of the builder story in terms of what they need to get accomplished. And I think specifically there, it's -- one of the things they continue to focus on is cycle times. And how do they take complexity out of the job site and at speed and efficiency to the job site. So as I think about the -- what EWP brings to that and to the builder, that's an important deliverable for them moving forward and what they need to get accomplished on reducing cycle times. So I think in terms of the EWP presence, again, we feel good how we're kind of set up going through the balance of this year. And again, we'll stay very close to our builder partners on what they're seeing and experiencing and making sure that, again, our products and services are set up to support them as they navigate their way through the second half of this year.
Susan Maklari: Yes. Okay. And I just want to squeeze one more in, which is on the capital allocation side of things. It's good to see you starting to get into those buybacks. You've done, I think, $100 million year-to-date through July, which is nice to see in there. Any thoughts on how you approach that last 1.2 million shares that are available on the authorization? I think it's 1.2 million. And overall, in terms of shareholder returns that versus the special dividend?
Kelly Hibbs: Thanks, Sue. This is Kelly. And you have the right data you laid out there. So maybe just let me think about -- let me speak to kind of priorities as it relates to capital allocation, just a little bit more broadly as we go through the back half of the year. We're going to be focused on executing our capital program, which we do have a big lift ahead of us here in the second half of the year to hit our target. In terms of shareholder returns, we did announce that the nice special dividend recently, I expect will continue to be opportunistically in the market buying back shares. No specific to lay out into how much a win for you today, but that will continue to be part of our playbook. And then we do have, obviously, the capability to do M&A, more M&A if the right opportunity surfaces. Maybe just one brief call out, I'd give you on that is that we did close on a small acquisition just yesterday, in Boise, Idaho, actually a small door and millwork operation that's an existing business, a small entity, but it does have a facility, does have employees. And so it gives us a nice little running start into the Boise market. So we were happy to get that done.
Susan Maklari: That’s great to hear. Okay, thank you both for all the color. And good luck with everything.
Operator: The next question comes from the line of Kurt Yinger of D.A. Davidson. Kurt, please go ahead.
Kurt Yinger : Great, thanks. And good morning everyone. Just hoping to just start off on EWP, and I was hoping you could maybe just frame kind of the overall competitive backdrop you're seeing in the markets at this stage. And as you move into the back half of the year, what are you looking at that maybe gives you more optimism that perhaps we're near a bottom on pricing? Or conversely, that things could perhaps get a little bit more challenging here over the back half?
Troy Little: Kurt, this is Troy Little. I'll start and then others can jump in. In terms of the -- you saw the pressure that we had in the second quarter, some sequential decline in our pricing. We remain targeted on how we approach that. It's a geographical situation. And so we continue to evaluate. And then we're kind of anticipating as we look out into the third quarter, that pressure is still there as we kind of finished up Q2. And so we see that kind of playing out a little bit more in Q3. So right now, we're still modeling kind of sequentially decline in that low to mid-single digit. And then that point, depending on kind of where things are at relative to buyers on the sideline with the elevated mortgage rates and the home affordability kind of see where that goes from there.
Kurt Yinger: In terms of, I guess, the divergence between maybe markets that are softer versus stronger, is that primarily, I guess, just dictated by demand in those markets at this stage? Or maybe the presence of different competitors? How would you kind of frame that, Troy?
Troy Little: Yes. I mean it's probably both, but it's the competitors, what they're doing. We're looking at that, responding accordingly. So that's probably the driver.
Kurt Yinger: Okay. Makes sense. And then second, Jeff, I think most would sort of describe the demand environment thus far as kind of modestly disappointing relative to maybe what people hoped a couple of months ago. Are you seeing that sentiment reflected in how your major customers on the BMD side are discussing inventory levels heading into the fall? And in your mind, does that create any risk around potentially some level of destocking materializing in the back half?
Jeff Strom: I would say this. On the commodity side, without a doubt, we're seeing it a bit slower. On the general line, it is very much steady as I would kind of describe it and what the customers are saying to us, there is not one major area of product from what we're hearing where while we're overstocked on something that there's a commonality to it at all. And we talk to our customer base, there might be a pocket here or there on a certain product where they feel a little bit heavy. But overall, what everyone is telling us is, no, there's not going to be a major destocking, but people are going to buy to exactly what they need, and we're seeing that and feeling it. And without a doubt, that plays into a distribution-friendly market, and we're -- there's no doubt we're seeing it right now.
Kurt Yinger: Got it. Okay, appreciate the color. Thank you.
Operator: [Operator Instructions] The next question comes from the line of George Staphos of Bank of America. George, please go ahead.
George Staphos : Thank so much. Good morning. Thanks for all the details. Two questions to start piggybacking off the last two questions. So Jeff, noticed that working cap to sales, inventory to sales in BMD is up on a percentage basis versus a year ago and more broadly, Kelly, working capital is up from prior quarters. Now some of that may just be natural pricing, right? You're seeing you have higher price perhaps in inventory based on prior trends relative to what's happening in the market right now. But are there any areas where you need to manage maybe to the earlier question down a little bit? And how do you feel about managing against any inventory risk to the P&L? Relatedly, with demand being what it is and prices maybe being off in commodity into the third quarter, obviously, anything can change. How do you feel about BMD margins third quarter versus second quarter, at least directionally, if you can give us any thoughts there?
Kelly Hibbs: Yes. You bet, George, this is Kelly. I'll take a swing at those to start here. So in terms of BMD's overall net working capital, you are correct, it is up. And in many cases, that's very intentional. If you think about -- we now have BROSCO in the mix, we didn't a year ago. We're starting up door shops in Kansas City, starting up door shops in Denver. So things like that are certainly showing up, and that's intentional and that's purposeful. As it relates to commodities, right now, it just doesn't feel like there's a whole lot of downside risk. There might be -- we're seeing a little bit of life in lumber, we'll see. But I think we are very well positioned in terms of days on hand and days on order in terms of our inventory. So you put all that together, I think in short, I'd say we feel good about where we're positioned, and we would expect, as you get into a seasonally softer period into the fourth quarter, we will start to see some generation from working capital seasonally coming down as expected.
George Staphos: I know it's hard to call, but given that things are as you anticipated, and you said that commodity is not a lot of downside risk from here, again, who knows. But given what we're seeing, given what you're seeing, then would a decent placeholder be to hold your BMD margins relatively consistently in 3Q versus 2Q, if you feel comfortable even commenting to that, figure out I get one shot.
Kelly Hibbs: Yes, sure. So I'll take a shot. As I sit here today, I would say, yes, that's reasonable to assume our gross margins can be similar in the third to what they were the second. There's always the caveat with might we get some surprises on pricing either way specifically in commodities. So yes, on gross margin. On EBITDA margin, I would expect that to -- again, if our sales pace stays off 5% relative to second quarter average that would constrain our -- that would constrain our EBITDA margins a little bit. So we'd be more probably in the mid-5s as opposed to high 5s, if that all plays out.
Nate Jorgensen: George, it's Nate. Maybe just another quick comment on that is Kelly described it well. But if you think about the -- I think the environment that we'll be in as we go through the second half of this year and largely have been in it for a while, the dependents that our customers have on our warehouse remains high. And so if you think about kind of the margin profile and that making sure we're that safe harbor for our customers and our suppliers that they have confidence that we're going to have material on the shelf, ready to serve and support them, kind of no matter what the market conditions provide. So that's part of, as you know who we are and the distribution side of things, and that will remain an important part of our game plan as we move through the second half of this year.
George Staphos: Thanks for that Nate. Last question for me in this round and piggybacking on I think Kurt's question earlier. So as you think about competition and EWP and recognizing this is open mic and all that, and you have your own commercial strategies. How much of the competition is coming from producers of similar engineered Wood Products? And how much, if you had to think about it maybe a quarter or two quarters ago, of the pressure is coming from open web trusses and things like that or substitution? Recognizing it's in many ways, it can be two sides of the same coin, how would you have us think about those things and what it means more importantly, really, into fourth quarter into 2025?
Nate Jorgensen: George, it's Nate. I'll take a shot at that and others can jump in. I think EWP in terms of the competitive landscape is largely around look alike competitors in terms of producing I-joists and laminated veneer lumber. So that's, I think, kind of the starting point for the conversation. There's always questions potentially on plated floor trusses or dimensional lumber. But largely, our team has to really kind of navigate the local like competitors that are out there. And again, I said mentioned earlier, I think EWP is well positioned in support of the builders and what they need to get accomplished on cycle time. So again, we feel good about how that shows up relative to some of the other competitive alternatives that are out there.
George Staphos: Thank you, Nate.
Operator: The next question comes from the line of Mike Roxland of Truist Securities. Mike, please goa ahead.
Mike Roxland : Yes, thank you Nate, Kelly, Chris for taking my questions and congrats on a good quarter, despite the challenging environment. I just wanted to follow up quickly on George's question regarding the EBITDA margin. I guess the point around sales pace, and whatnot. But how do you think about how a higher quality mix should impact your EBITDA margin as well? Because for my understanding that 3Q is typically a higher quality mix quarter. So what type of benefit should that have that might be able to offset some of the slower sales pace you're seeing?
Kelly Hibbs: Yes, you're heading in the right direction there, Mike. That we would expect to see generally, the general line products do carry a higher gross margin. So to the extent that, that becomes a bigger part of your sales mix, that does provide you some opportunity. But I would recognize also that 42% was the biggest number we've had in terms of the sales mix for general line. We want to continue that to be in the 40s. But make no mistake, commodities will continue to be important part of the sales mix as well as EWP.
Mike Roxland: Got you. And would it be fair to say that with the general line that the 42%, which is the highest on record for the company as you noted, is some that you think you can maintain in 3Q or look to maintain on a go-forward basis?
Kelly Hibbs: Yes. I mean there are some product categories within general line that probably carry a bit more of a seasonal component that are stronger in the second and the third and then they might tail off in the fourth or the first. But I guess, comparatively, second to third, yes, I think we could -- we should be able to continue at a similar rate -- a similar mix for the third quarter.
Mike Roxland: Got it. And then just 1 last question, just on response to Nate's comment about warehouse sales. Given the increase in volatility in the backdrop, have you seen warehouse sales accelerate? I know you -- they have represented around 70% to 75% of your mix. That was versus historically around 65% to 70%. Have you seen an acceleration beyond that particularly just given how volatile the environment become?
Jeff Strom: This is Jeff. We have absolutely seen the warehouse sales pick up, and especially with the uncertainty in the commodity and no real reward for taking a position and people want to rely on it. It's undeniable and you can see clearly in the data that our warehouse sales are picking up.
Mike Roxland: Got you, Jeff. One quick follow-up. Is that -- so are you beyond the 75% that you were quoting a couple of quarters ago? Are you now between 75% and 80% in terms of warehouse sales? Just a ballpark.
Kelly Hibbs: No, I don't think I would put us north of 75%, Mike. I think historically, it's probably more like 65% and now maybe we're pushing more like 70%.
Mike Roxland: Got it. Thanks very much guys, appreciated.
Operator: The next question comes from the line of Reuben Garner of Benchmark.
Reuben Garner : Thank you. Good morning, everybody. So question, BMD margin question to start. More about the breakdown of margins today versus what they were 5, 6, 7 years ago. It seems like the gross margin has stabilized at a materially higher point as of EBITDA, but it looks like maybe the selling distribution costs are a little higher. Can you talk about why that is? Is that things like the higher mix of warehouse, the higher mix of general line do those come with higher selling expenses? Is that something that we'd expect to kind of continue on a go forward? Any other kind of mix or company-specific drivers for that?
Kelly Hibbs: Yes. I think there's a couple of things to speak to Reuben that all anecdotally address, and then maybe Jeff can add a little color if need be. But selling distribution in terms of the most recent year-over-year results. Really a big part of that is BROSCO, right? So we added a meaningful business with nice margin but also meaningful selling and distribution expenses. And so that's one thing. And then just generally, our growth across the system, whether it's BROSCO, whether it's Dallas door and millwork or Houston door and millwork, et cetera. We've added -- with more sales, you need to have more sales folks, more services, more capabilities. And so I think it's just a natural growth because we are carrying more general line products, but that is purposeful. Anything you'd add, Jeff?
Jeff Strom: I'd just say we do load up with bodies before on -- especially in the millwork places and you have to have people there before you start producing the sales. So there's kind of a timing effect there that's playing into it as well.
Reuben Garner: Got it. That's helpful. And then any specific thing that you'd call out within general line. I know you guys sell a number of products there. And I know that some of it is because of investments you've made to grow. Are you actually seeing kind of organic strength or weakness outside of your investments in any particular categories that you call out?
Jeff Strom: I would tell you, it's really been steady across the board. There are a few areas where we feel like we're picking up some share because we're really committed to making sure we have it on the ground where maybe last year, we didn't, and that's why I tell you we leaned hard into the winter buy and load it up. And there are certain areas there that I think we have grown some taking share. But across the board, I'd say it's pretty even.
Nate Jorgensen: Reuben, it's Nate. Maybe just another data point, is I think as we think about the -- our general line vendors, all of our vendors, but in the general line, we've got there some terrific brands and terrific franchises that we have, again, the privilege to kind of represent. So as you think about how they're positioned and in terms of who they are, what they're doing, including around innovation and new products, that's a great environment for us in BMD. So again, I would probably speak to not only the product, but some of the brands that we represent as well.
Reuben Garner: Great. And I'm going to sneak one more big picture question and if I could. Any thoughts or color you could share on what you're seeing from a mix/size-of-home perspective? I know you guys are usually a pretty early read on some of the building plans that are out there. And I know volume has been pretty strong on the single-family front, but how much of a headwind do you think there is from the size of the home, people mixing down or builders mixing down sort of affordability reasons? How would you think about that on a go-forward basis?
Kelly Hibbs: Yes. No, I think you're right, Reuben, in terms of year-over-year, I think home sizes are off something like, I think, 5% and then builders obviously needing to respond to affordability concerns for homebuyers, so less amenities. And so that does make its way into if you have smaller structures, you have less consumption of wood. Where do we go forward from here? I guess I'm not sure I venture a guess yet. I think it will depend upon the economy will depend on affordability and mortgage rates, but I wouldn't be braving up to venture a guess where we might go from here.
Reuben Garner: Great, thanks. Good luck guys, going forward.
Operator: The next question comes from the line of Ketan Mamtora of BMO. Ketan, please go ahead. The next question comes from the line of George Staphos of Bank of America. George, please go ahead. George? I am actually showing no further questions. So with that being said, I will turn the call back over to Nate Jorgensen. Nate, please go ahead.
Nate Jorgensen: Great. Thank you. We appreciate everyone joining us this morning for our update, and thank you for your continued interest and support of Boise Cascade. Please be safe and be well. Thank you.
Operator: This does conclude today's conference call. You may now disconnect.